Operator: Good day and welcome to the First Quarter 2022, The Bancorp, Inc. Earnings Conference Call. [Operator Instructions] As a reminder, this call is being recorded. I would like to turn the call over to Andres Viroslav. You may begin.
Andres Viroslav: Thank you, operator. Good morning and thank you for joining us today for The Bancorp's first quarter 2022 financial results conference call. On the call with me today are Damian Kozlowski, Chief Executive Officer; and Paul Frenkiel, our Chief Financial Officer. This morning's call is being webcast on our website at www.thebancorp.com. There will be a replay of the call beginning at approximately 12:00 p.m. Eastern Time today. The dial-in for the replay is 855-859-2056 with a confirmation code of 6984967. Before I turn the call over to Damian, I would like to remind everyone that when used in this conference call, the words believes, anticipates, expects and similar expressions are intended to identify forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Such statements are subject to risks and uncertainties which could cause actual results, performance or achievements to differ materially from those anticipated or suggested by such statements. For further discussion of these risks and uncertainties, please see The Bancorp's filings with the SEC. Listeners are cautioned not to place undue reliance on these forward-looking statements which speak only as of the date hereof. Bancorp undertakes no obligation to publicly release the results of any revisions to forward-looking statements which may be made to reflect events or circumstances after the date hereof or to reflect the occurrence of unanticipated events. Now, I'd like to turn the call over to The Bancorp's Chief Executive Officer, Damian Kozlowski. Damian?
Damian Kozlowski: Thank you, Andres. Good morning, everyone. In the first quarter, The Bancorp earned $29 million in net income or $0.50 a share from 5% year-over-year revenue growth, excluding the impact of PPP-related interest and fees with an 8% reduction in expense. Loan interest income, excluding PPP and discontinued loans increased 12%, while non-interest income increased 4% year-over-year. Total loans excluding loans at fair value and reclassified discontinued operations loans grew 45% year-over-year and 10% quarter-over-quarter. Balance growth year-over-year was led by Institutional Banking which includes our securities backed line of credit, insurance backed line of credit and RIA financing and Real Estate Bridge Lending. Real Estate Bridge Lending has generated over $800 million in loans since inception, while Institutional Banking balances increased 32% year-over-year. All businesses continue to grow quarter-over-quarter with Real Estate Bridge Lending growing 29%, Institutional 8% and Leasing and SBA each growing 1%, excluding PPP loans. Gross dollar volume from our cards business grew 2% year-over-year, even with the impact of one-time stimulus and other government payments in '21. Payments fees decreased 2%, reflecting the impact of Varo which exited the Bank in the second quarter of '21. GDV grew 15% over Q4 '21, reflecting the impact of first quarter tax refund spending and other growth. We continue to experience business momentum in '22. Loan pipelines across our businesses remain robust and should offset any repayments in our loan book due to increasing interest rates. Our mostly floating rate Real Estate and Institutional businesses grew significantly in the quarter. Our Commercial business which includes SBA and Fleet Leasing was mostly flat during the quarter due to some maturities and repayments but we should have growth in those portfolios for the balance of the year. With the predicted rise in interest rates throughout 2022, our lending portfolios which are 70% floating, will increase net interest income after the impact of rate floors are exceeded. Our Payments business showed resilience in the first quarter. In 2021, significant government stimulus in the first quarter made the 2021 GDVs hard to beat. However, due to continued growth in our existing and new programs, '22 first quarter was able to show a year-over-year increase of 2% in GDV even without this stimulus and additionally, with our Varo volume that exited the Bank in the second quarter. We continue to see significant opportunities to grow in '22 and beyond and should show increasing growth as the year progresses. Lastly, we have previously announced both our new FinTech Hub in Sioux Falls and our proposed switch to licensing to an OCC regulated national bank. We believe these changes solidify our commitment to the economic development of Sioux Falls and more appropriately reflect our nationally based franchises and help align regulatory oversight with our primary competitor set. We look forward to completing the construction and build-out of our facilities in '23 and our regulatory changes by the end of this year. I now turn our call over to our CFO, Paul Frenkiel, to give more details about the first quarter.
Paul Frenkiel: Thank you, Damian. Return on assets and equity for first quarter 2022 were respectively, 1.7% and 18% compared to 1.6% and 18% in Q1 2021. Loan interest income in each quarter to 2021 was impacted by repayments of CRE bridge loans previously originated for securitization but now held on the balance sheet. In Q3 2021, we began originating new such loans under the Real Estate Bridge Lending caption. Q1 2022 was the first quarter in which there was a net increase in related interest as the impact of new originations exceeded the decreases resulting from repayments. Fees related to those repayments are recorded in net realized and unrealized gains on commercial loans which increased $1.4 million year-over-year. Notwithstanding the impact of the CRE repayments, loans and commercial loans at fair value at quarter end had increased 15% over the past year. Interest income in Q1 2022 reflected a reduction of $3.9 million in securities interest compared to Q1 2021, reflecting lower securities balances, repayments of higher-yielding securities and lower reinvestment rates. Our interest expense was reduced from 21 basis points during Q1 2021 to 19 basis points during Q1 2022. Most of our deposit interest expense is contractually tied to a portion of changes in market interest rates. The Federal Reserve's March 2022 rate hike of 25 basis points is projected to be followed by additional increases throughout the year. Initial rate hikes are not projected to increase net interest income until the impact of rate floors is exceeded. We estimate that rate hikes will have to approach 2% before their impact will increase net interest income. Our net interest margin of 3.12% for Q1 2022 was down from 3.34% in Q1 2021. The reduction reflected a lower yield on loan and securities portfolios as higher-yielding loans and securities matured or repaid. The provision for credit losses increased to $1.5 million in Q1 2022 from $822,000 in Q1 2021. The increase reflected the impact of loan growth and allocations on specific loans. We believe our loan portfolios generally are lower risk than other forms of lending as a result of their charge-off history which reflects the nature of related collateral, because SBLOC and IBLOC loans are respectively collateralized by marketable securities and the cash value of life insurance and have incurred only nominal credit losses, management excludes those loans from the ratio of the allowance to total loans in its internal analysis. Our non-SBA CRE loans at fair value and within Real Estate Bridge Lending are comprised primarily of apartment buildings. Our Small Business Loan portfolio is comprised primarily of SBA loans which are either 75% government guaranteed or have 50% to 60% origination date loan to values. For our Leasing portfolio, we have recourse to underlying vehicles and a prolonged history of pricing leases to minimize losses. Tables contained in the earnings press release detail diversification of our loan portfolios. Prepaid debit and other payment-related accounts are our largest funding source and the primary driver of non-interest income. Total fees and related payments income in Q1 2022 decreased 2% compared to Q1 2021 as the impact of Varo offset growth in other relationships. Non-interest expense for Q1 2022 was $38 million, reflecting a decrease of 8% from Q1 2021. The decrease reflected lower incentive compensation and legal expenses and lower FDIC expense resulting from the reclassification of certain deposits from brokered to non-brokered. Q1 2022 results also reflected the impact of a reduced tax rate of approximately 24% versus higher rates in other recent years. The reduction resulted from the impact of increases in the company's stock price on tax deductions related to stock compensation. Book value per share at quarter end increased 10% to $11.41 compared to $10.42 a year earlier, reflecting earnings per share and the net impact of stock repurchases. I will now turn the call back to Damian.
Damian Kozlowski: Thank you, Paul. Operator, would you please open the line to questions.
Operator: [Operator Instructions] Our first question comes from Michael Perito with KBW.
Michael Perito: Hey, good morning.
Damian Kozlowski: Good morning, Mike. How are you?
Michael Perito: Good. How are you doing?
Damian Kozlowski: Good. Thank you.
Michael Perito: Cool. I had a couple of things I wanted to hit on. It was good to see the card fees come in pretty strong. I guess kind of a 2-part question here. Number one, what's the outlook on some of your larger partners, what's the volume you guys are seeing? And then how do we kind of marry that with the pipeline of new partner you guys are launching and just would love some color there? And then secondly, there were a couple of other items in the non-interest income that took a step down ex loan sales and leasing income. Just curious if you guys could provide any context around that and any near-term outlook thoughts would be great?
Damian Kozlowski: Yes. The GDV has been tough to predict the last 2 years because of the multiple stimulus and the lockdowns that have happened in the economy. So there was this tailwind of virtualization that occurred but there's this bumpiness that occurred because of the stimulus. So if you think about the world of virtual card, in the card world, the virtual payments world, I guess things got pushed forward, that's why you saw large increases in volume over the last 2 years. But that creates a year-over-year problem, obviously. Last year, in December, January, there was a massive stimulus of $1.7 trillion at the government and there was other programs, too, that went through the economy and much of it came to us. And we really did not -- we thought the best case scenario for this quarter's GDV was going to be down slightly in the single digits. We never thought we would actually be up 2%. We really didn't. We didn't think that was even possible. So we were very happy with this GDV number. What's happened is you're just getting the continued growth across -- a broad growth across some of our big partners. But some of the impacts that have happened to us like the lowering of GDV for, say, prepaid cards, the bulk of it is kind of already out of the numbers previously. So as you go through the year, you're going to get more back to the trend growth that we experienced prior to the pandemic. So this double-digit growth were kind of -- it's hard to predict but if you look at our pipeline, it takes a while for many of the programs, very robust pipeline, new implementations, product expansions but it takes a while for the volume to build. So we should be more to the trend as we move through the year and by the end of the year, we should be more in that double-digit trend. We were 15% to 20% GDV growth prior to the pandemic, that's what we're -- we think is going to happen. On the fee side, the fees are very -- they're bumpy, right? So for say, Leasing, those are sales of used cars. It totally depends when contracts expire and whether or not we take those car back and sell them. For the Real Estate fees, that has to do with the repayment -- early repayment of our portfolio that's winding down from the securitization portfolio. Once again, we're going to realize all those fees. We still have about, I think $800 million or so too. Yes, that will go through the system over the next about 8 months or so. And you'll see those in the line but we can't predict quarter-to-quarter of when those will happen.
Michael Perito: Very good. And you -- I don't know if it was just my line but you broke out a smidge there in the middle. So on just the GDV comment. So the part that I missed, I think was did you say that the -- at this point, you guys are budgeting a year-on-year, still some conservatism next quarter but then expect to return to a more steady GDV growth rate in the back half of the year was -- I just want to make sure I didn't miss?
Damian Kozlowski: Yes. The next quarter, it's not as hard to predict as the first quarter was but there is still this overhang that happened between differentials on when taxes were due and the stimulus when the stimulus was spent. So I can't really -- do you -- do I think we will have -- it's not as much of it as a headwind as it was in the first quarter. You might have slower growth in the second quarter. The third and fourth quarter should -- because you have Varo out, you don't have stimulus impact anymore, there were some other programs that much smaller, they're inconsequential to the other 2 but it should all kind of be out of the numbers in the third and fourth quarter. The fourth quarter should be a nice pure run rate. Look, the third probably will be, too. But by the end of this year, all those noise will be out of the system.
Michael Perito: Got it. And then on the margin, Paul, there's a couple of things going on here, I guess. I guess the first question is just when -- can the liquidity you built up in the first quarter with the loan growth you have, I imagine not long but how long do you expect that to remain elevated and just where does -- just deploying that take the margin to? And then I guess, let's start there, then I have a follow-up.
Paul Frenkiel: Okay. So a lot of that liquidity in the first quarter is temporary. We have it every year. It's -- even without the stimulus which we had last year, we have the impact of tax refund deposits in our accounts. So that inflates temporarily deposits in the first quarter, the money goes out fairly quickly, although there will be some residual left in the second quarter. So there won't be a lot of excess by the end of the second quarter. We have -- on the other hand, we have a history of strong deposit growth which we expect to continue in our -- in all of our programs.
Michael Perito: And does -- if the liquidity was normalized, does that get you back kind of right up to where the NIM was in the fourth quarter or were there other elements at bay that, that would have changed that materially?
Paul Frenkiel: No, there are other elements. If you look at securities income, Q4 to Q1 securities -- the balances were about the same but income was down about $900,000. So to some degree, while we've managed the balance sheet with considerable protection in down-rates, that's primarily the floors but also securities within our investment portfolio, we're not totally immune to eventually having those higher rate securities, prepay and higher rate loans prepay. The good news, of course, is that as interest -- the interest rate environment normalizes to some place at least around the rate of inflation which is 2% or 3% toward the end of the year, we believe that net interest income will benefit significantly as the Fed finishes its rate increases.
Michael Perito: Got it. And then just lastly and then I'll let someone else jump in. But the -- still on the margin, the comment I think you said that you expect maybe Fed funds to go up 200 basis points before you guys start to see the benefit. That is a static analysis, correct? Meaning most of the higher floors, if I'm not mistaken, are in the portfolio that you guys are selling. And as that works down, could that lower that number theoretically as you guys move forward?
Damian Kozlowski: Yes.
Paul Frenkiel: Yes. It does. Every quarter, we get that threshold, it will creep down from close -- from closer to 2% to lower than that to closer to 1.5%. It's just -- as Damian indicated, it's just difficult to know when loans -- when the higher rate loans prepay. So it's really impossible to predict the exact quarter.
Damian Kozlowski: And just recall, when they repay, we get the fees, obviously, about 1%, 1.5% generally from different sources. One is because we booked the loans at 99 [ph] and we don't amortize, we amortize the fee at that point. So it's a nice offset to the loss of the interest income in that quarter but we're building that CRE portfolio very quickly. So we already have $800 million replaced. I mean that was -- if you think about that, that's at 4%, that would have been a $32 million hole. We had an interest income if we were sitting here this year, looking back at last year and not having created that new portfolio. And we right now have about a $350 million pipeline of CRE transactions that will close in the next 60 to 70 days. So that will be another $300 million [ph] net of new loans that will come on that it will be priced above 4% for the second quarter.
Michael Perito: And do you have an estimate per hike on what your NII would benefit once through floors, Paul, by chance?
Paul Frenkiel: Yes. So we actually estimate that like right now in the -- up $200 million [ph] might be a 5% or 6% increase, that's conservative. That's based on our model. And obviously, we'll try to maximize that.
Damian Kozlowski: Yes. And remember, we are not -- we have not invested in securities for pretty much 2 years. So we took the decision that we could generate the loans and replace the loans through origination and we did not go down the maturity scale or up to maturity scale in order to try to get yield in the investment portfolio. So we're down over 40% in the investment-related income because we just didn't think it was the right thing to do to generate that type of income in an interest rate environment that would have been -- if you look at it through the cycle would have not been a positive for the Bank. So we have a lot of dry powder to reinvest in securities for liquidity reasons but also for income reasons as interest rates rise.
Michael Perito: Very good. Thank you, guys. Sorry for the long one but thanks for taking all my questions. Appreciate it.
Damian Kozlowski: Thank you, Mike.
Operator: Our next question comes from William Wallace with Raymond James.
William Wallace: Good morning. How are you guys doing?
Damian Kozlowski: Good morning, Wally. We are good. Thank you. Hope everything is well.
William Wallace: Yes. Thanks. Maybe just to put a bow on this last line of questioning. So in the first 200 basis points, NII doesn't benefit but you're not liability sensitive, right? This is just -- we should think about it as neutral but the remaining loans in your portfolio are almost off floating, so that will offset the increases in the deposit costs. Is that correct?
Damian Kozlowski: Yes.
William Wallace: Okay.
Damian Kozlowski: Yes. But we're being conservative. We don't -- you're in a trap with this, you don't want to be. We don't know exactly what's going to run off and what's going to be created. It's positive. There's no way to calculate it that it's not positive. So when Paul has been conservative, it's reasonable but it could be earlier in the interest rate cycle. So you could start seeing that benefit more like 125 basis points, 150 basis points and then have a very large impact at 200 basis points. Regardless if they do raise the interest rates, it's hard to see how that would be a negative for the Bank. Knowing where the floors are today, knowing that our portfolio is about 70% variable and also knowing that we could reinvest in longer-term securities, all those things are very positive for net interest income and margin.
William Wallace: Right, right. And as -- if the Fed raises aggressively, I mean, I guess, theoretically, we could get that 200 basis points, the futures market tells us we're getting it this year. Does the decision by the borrower to prepay change? In other words, there's no incentive once they come off the floors, they're going to reprice at the same rate if they go somewhere else, right? So does that slow the transition out of the held for sale into the balance sheet portfolio?
Damian Kozlowski: It could. And we've already seen our rates in the marketplace start to climb. So...
William Wallace: Yes.
Damian Kozlowski: But we have -- it's pretty high. It's around the 470 basis points level where the rest of the portfolio floors are. And so if the market is now more over 4% [ph] now for the -- anything but the larger deals, so it could have an impact but there's maturities coming anyway. So if you remember, this portfolio kind of was frozen 2 years ago and their 3-year loans with a potential to refi but most of the people who have done their projects do not want a variable rate loan in this environment. They're going to want to fix their financing if they've done their project. So I think it's all going to repay. I can't be sure, nothing will be extended. But I think there's -- in the environment, there's a huge incentive to lock in longer-term financing if you can get your project done. And there's plenty of bank liquidity out there. So there are alternatives for these borrowers.
William Wallace: And presumably, it doesn't really matter, once they come up floors, you're happy to keep them anyway, right? These are all good loans from your -- from a credit perspective, correct?
Damian Kozlowski: You remember during the pandemic, we had virtually no issues, a few hotel issues that I mean, we really had amazing credit performance from that portfolio. I think there was some worry from because we couldn't securitize it that there might been some credit issues in there but the performance of it speaks for itself.
William Wallace: Right. Okay. All right. Moving on, I wanted to address the expense part of the equation. I wrote in my first look that, that the -- your revenue was below expectations but your expense adjusted down. And so my question is, is this a function of variability in the expense base or was the big decline in the salary benefits for you lapping bonus accruals and something that just kind of just happened or is -- or do you really have that much variability and if so, what drives that?
Damian Kozlowski: Well, 2 of the categories were easy, there's about $2.5 million of that was just reduced legal costs and that's just legal bills, right? And the other one was FDIC insurance fees. The -- we were 80% brokered and now we're 100% core. So those 2 were significant reductions. We're not going up across the other expenses really because we've made so many investments in scalability. The personnel costs, we tie -- we have plans, compensation plans across our business based on performance at the senior level, some of them are more formulaic at the sales force level. And so they're performance-based. It's exactly what -- everything we do is based on performance and growth and targets. And so you'll have a lower accrual on those things when performance isn't as good as you -- as the models would predict. So there isn't definitely an offset in that area. So those things together lowered our expense base this quarter. And -- but not the FDIC insurance, that's based on deposits, not to legal, that's really depends on whatever legal issues. And last year, we had already announced that there were some SEC things that they were looking at that we needed to respond to. So there were higher costs and there was another employee suit that was also high costs. So those things come and go. The comp will always be ratcheted up. So if we overperform at the end of the year which is with interest rates and everywhere we're going, yes, you'll see a increase in that line based on the metrics that we use in order to judge performance and then accrue bonus for it.
Operator: Our next question comes from Frank Schiraldi with Piper Sandler.
Frank Schiraldi: Just on the -- just a follow-up on the comp line. So it's really just the 4Q was kind of inflated by incentive comp it seems. Is there any sort of direct tie between the gain on sale line when you do realize these gains and some variable comp in the comp line or not really?
Damian Kozlowski: No.
Frank Schiraldi: Okay.
Damian Kozlowski: No, not the gain. It might be in the most abstract way if, say, for the Leasing business, if they got really good gains and it might be a discretionary bonus difference but I -- there's no formulaic on the gains.
Frank Schiraldi: Okay. And then in terms of the gain on sale, I think in the -- you talked about maybe up to $12 million this year. Just wondering if you -- maybe you can tell us what sort of level is in that is anticipated in your $2.15 [ph] guide for the year in terms of just the gain on sale here?
Damian Kozlowski: Well, we thought we were going to have about 4 [ph]. On the vehicle part which gain on sale, are you talking about the CRE or the vehicle gains that we get in the lease -- excuse me.
Frank Schiraldi: Yes. I was just talking about CRE but...
Damian Kozlowski: Okay. Well, that -- we think it's going to be about $400 million at the end of the year, right? But that can be $0 million [ph] or that could be $800 million. So what we did was we think it's going to be around $400 million [ph]. So it's easy to calculate the fees. We're about -- what are we at now exactly?
Paul Frenkiel: About $800 million -- about...
Damian Kozlowski: Yes, $800 million.
Paul Frenkiel: Yes.
Damian Kozlowski: So you think about 400x 1.5% [ph], that will give you the fees that will come into from those gain on sale for the rest of the year, right? But it could be double that, right? So that's why we mean -- this has been very -- if you think about just generally what -- if we were thinking about where we were from last year, it's actually been very good where we are positioned right now in this quarter. We had the PPP in there in the first quarter of last year, right? They're spread and fees. We had the roll-off and the build in the CRE portfolio. So you had a lot roll-off and a lot come on, right? You had the stimulus in there for the GDV and then you had the bond runoff. So you had a lot of things that we needed to deal with but we've dealt with pretty much all of those now. And we're in a very good position, especially with the interest rates and buybacks, we're in a very good position for to be able to perform as the year -- as we go through the year. So we're -- we think we're -- there's a lot of variability around it but we think we've got -- we're in the -- we're very happy with this quarter and we're very happy where we are.
Frank Schiraldi: Great. And then just on the -- just back to the rate picture for a second. You mentioned the conservatism behind the 2% number that Paul gave. I'm just wondering if there's any reason to be more conservative this quarter versus previous quarters. It seems like that numbers moved higher. And I'm just wondering if there's anything on the loan pricing side that you think it will take a little bit longer to get that boost in NII or is it just more conservative -- being more conservative this quarter?
Damian Kozlowski: It's just -- Frank, we know that generally, as this plays out, it's going to be a huge positive for the Bank. So by the time we get to '23, if all these things actually happen, it's going to be -- we're going to be in a very good position the Bank is. However, we can't predict exactly how they will raise interest rates which loans will pay, how we will originate new loans with what type of floors. You have an IBLOC that has a floor of 3% but you have a SBLOC that has no floor, right? You have a fixed rate IRA. You have roll-off for CRE. It's just too hard to predict and give anything other than a conservative guidance. Will there be an -- if we get 2.50% rate increases over the next 2 Fed meetings, will that kind of put us at the go-start? Probably. You know what I mean. That -- that's where the next increase will probably start significantly impacting the Bank. We know that at 200 [ph], you now have a lot of room behind you of rate increases that will have worked out any of the ambiguity, that's what we're kind of saying. So there's this 125 to 200 [ph] range, where we can't really predict what ultimate impact it'll have on the performance of revenue and net income. So we don't want to -- we can't really give guidance on that. We just know by -- as the year works through, it's -- we're in a very positive situation because we dealt with those four things that I just described with -- a few moments ago. Those four are kind of behind us. Now we're looking towards a much better perspective of performance possibilities, I guess, or forecast than you would have had this time last year.
Frank Schiraldi: Okay. And then just lastly, just a broader question on the consumer side of things. You've talked about maybe some announcements on that side. Just wondering if anything on the macro front has kind of changed your calculus there or if we should still expect to see you enter that side of things sometime soon?
Damian Kozlowski: I think you're talking about credit sponsorship, correct?
Frank Schiraldi: Yes.
Damian Kozlowski: Yes. Sooner rather than later. We're moving ahead very deliberately. We're very excited but we cannot announce at this time. We wait for our partners to take the lead on that but we're -- we continue to be very excited. We think it will be a big, can't predict. So I'm not giving you any guidance but I think we're going to have something exciting sooner rather than later but that's not in stone. So you know how things, they're never in stone until they are announced and stuff but we're excited about that opportunity and we think it will be very accretive to the Bank.
Frank Schiraldi: Okay. All right, great. Thank you.
Damian Kozlowski: You're welcome. Thank you.
Operator: This concludes the Q&A session. I'd like to turn the call back over to Damian Kozlowski for any closing remarks.
Damian Kozlowski: Yes. Thank you for joining us today. We really appreciate your interest in the Bank. And thank you, operator. You can disconnect the call.
Operator: You're welcome. Ladies and gentlemen, this does conclude the program. You may now disconnect. Everyone have a great day.